Operator: Thank you for standing by. My name is Joel, and I will be your conference operator today. At this time, I would like to welcome everyone to the DKL’s Third Quarter Earnings Call. [Operator Instructions] I would now like to turn the conference over to Robert Wright, Deputy Chief Financial Officer. You may begin.
Robert Wright: Good morning, and welcome to the Delek Logistics Partners third quarter earnings conference call. Participants joining me on today’s call will include Avigal Soreq, President; Joseph Israel, EVP, Operations; Reuven Spiegel, EVP and Chief Financial Officer; and Odely Sakazi, SVP Delek Logistics. As a reminder, this conference call will contain forward-looking statements as defined under the federal securities laws including statements regarding guidance and future business outlook. Any forward-looking statements made during today’s call involve risks and uncertainties that may cause actual results to differ materially from today’s comments. Factors that could cause actual results to differ are included in our SEC filings. The company assumes no obligation to update any forward-looking statements. I will now turn the call over to Avigal for opening remarks. Avigal.
Avigal Soreq: Thank you, Robert. Delek Logistics Partners had another record quarter. We reported approximately $107 million in quarterly adjusted EBITDA. We are pleased with Delek Logistics continued strong performance. DKL is a premier full-service crude, natural gas and water provider in the prolific Permian basin, and our recent actions have significantly enhanced our position. In Q3 of 2024, we closed several important transactions. First, on August 5, we meant and extend contracts between DKL and DK for a period of 7 years. Second, we completed the acquisition of Delek portion in Wink to Webster Pipeline. W2W is a premier crude oil pipeline packed by investment-grade counterparties. It increases the overall asset quality at DKL and enhanced DKL permanent position. Third, on September 11, we closed the acquisition of H2 Midstream. We are excited about our combined offering in the Midland Basin. While it’s still early, this combination is already more attractive options for our customers and is presenting several cross-sell opportunities. In the Delaware Basin, we are also making good progress on our processing plant expansion and still expect to complete the expansion on time and on budget in the first half of 2025. As discussed previously, the plant is highly touching the sky, and we are making progress on completion. We are already seeing additional opportunities around solar gas treatment. On October 29, the Board of Directors approved an increase in the quarterly distribution to $1.10 per unit. We are very excited about the prospect of Delek Logistics. DKL is seeing several organic and inorganic growth opportunities, and we are taking prudent approach to growth. DKL has shown a strong track record of delivering value to unitholders. We expect to continue on our value creation test moving forward, and we will continue to grow our distribution in the future. I will now hand it over to Reuven.
Reuven Spiegel: Thank you. As Avigal mentioned, we are growing Delek Logistics with prudent management of liquidity and leverage. We have managed liquidity throughout the year by accessing debt and equity markets. We currently have approximately $780 million of liquidity post the recent equity offering. We are also managing our leverage as we get into core spending period on our new gas processing plant expansion. Moving on to our third quarter results. The third quarter adjusted EBITDA was approximately $107 million compared to $98.2 million in the same period of ‘23. Distributable cash flow as adjusted, was $62 million and the DCF coverage ratio was approximately 1.1x. We expect this ratio to steadily move back above our long-term objective of 1.3x in the second half of 2025 as we realize the benefit of the various initiatives Avigal just spoke about. As for Gathering and Processing segment, adjusted EBITDA for the quarter was $55 million compared to $52.9 million in the third quarter of ‘23. The increase was primarily due to higher throughput from Delek Logistics Permian Basin assets and small contribution from H2O post the transaction, which was closed in mid-September. Wholesale Marketing and Terminalling adjusted EBITDA was $24.7 million compared with $28.1 million in prior year. The decrease was primarily due to lower wholesale margins. Storage and Transportation adjusted EBITDA in the quarter was $19.4 million compared with $17.9 million in the third quarter of ‘23. The increase was mainly driven by higher storage and transportation rates. And lastly, the investment in pipeline joint venture segment contributed $15.6 million this quarter compared with $9.3 million in the third quarter of ‘23. The increase was primarily from the Wink to Webster drop-down contributions. Moving on to capital expenditures. The capital program for the third quarter was $65.2 million, of which $53.4 million was allocated to the new gas processing plant. The remainder of the spend in the quarter was the growth projects, namely advancing new connection in the Midland and Delaware gathering systems, along with our previously announced capital budget for 2024, we expect to spend a total of $90 million to $100 million in the second half of ‘24 on the new gas processing plant. With that, we can open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Doug Irwin of Citi. Your line is open.
Doug Irwin: Hey. Thanks for the questions. I just want to start with the processing plant. It looks like you have already spent over half of the expected CapEx there. I am just wondering if you could talk about the progress and any updated expectations on timing. And then just curious if you could talk about the potential sour gas opportunities at this plant and DKL’s ability to potentially take advantage of the need for some more sour gas treating in the Delaware?
Avigal Soreq: Yes. Thank you, Doug, for the two great questions. So, first of all, progress around the plant that goes very well. We are very happy with the contraction and the commercial side of that. So, that’s absolutely going the right way. Obviously, as you heard in my prepared remarks, we see opportunity around sour and which are very attractive. I would put it this way, and expect that we will come back to you about that sooner than later. Odely, do you want to be more specific about the progress of the gas plant?
Odely Sakazi: Yes, please, Avigal, thank you. And Doug, good morning, I appreciate the question. So, regarding the progression, as we mentioned before, everything is going very well, both on schedule and also from a cost perspective. As we mentioned, we are looking to have the plant ready on the first half of 2025, which is still the projection, everything has progressed very well. From a construction standpoint, all civil work has already been started, major equipment is there. So, we are really happy about the progress about it and also on the schedule and also on the cost. On the sour side, as Avigal mentioned, that’s the opportunity that it’s something that is really interesting, and we are excited about that. Part of the 3Bear acquisition, which now is DPG, we have the two AGI wells permits that we are looking to continue to use that. And as Avigal mentioned, more to come around that, but we are very excited about the opportunity for us with DKL.
Avigal Soreq: Doug, as you probably saw, we see a very attractive valuation for those assets over there, and that’s something that we will come back to you sooner than later.
Doug Irwin: Great. Thanks a lot. And then my second question is just on Midland’s volumes. It took a little bit of a step lower this quarter. Could you maybe just talk about what trends you are seeing there? And then maybe if you could also provide some more details on the acreage dedication that was announced last month, just as you sort of guide posts around MVCs or volume expectations moving forward would be helpful. Thanks.
Avigal Soreq: Yes, absolutely. So, Doug, we are really fortunate to have the system, the DPG on the location we have. We see great value in the area. The acreage dedication deal that we did that we announced is extremely accretive for us, and Odely will give more color around it.
Odely Sakazi: Yes. Thank you, Avigal. So, Doug, as you mentioned, we are – we have done around $185 million in the third quarter. This is kind of a mix of two things. One, the project timing, execution, and also, as we mentioned before, we saw consolidation in the GPN landscape. So, we see optimization around the rigs for our producer and also moving some of the rigs to a new acreage. So, we are still looking to be around $190 million in DPG by the end of the year and above $200 million in 2025. As mentioned, the $50,000 in acreage that we just had in DPG is something that we are really excited about, because of the fact that we are able to continue to grow the acreage that dedicate to us in DPG in an area that’s like the Midland area where it’s a very mature area from that standpoint. So, from a volume standpoint, this is where we are going to see an incremental to go above the $200 million and also gaining even further beyond for 2026 as well.
Doug Irwin: Got it. Thank you.
Avigal Soreq: Thank you, Doug. Appreciate you.
Operator: Your next question comes from the line of Neal Dingmann of Truist Securities. Your line is open.
Neal Dingmann: Good morning. Just on the ACO midstream, a really unique acquisition. I am just wondering, again, you talked a little bit on the integration. I am just wondering, how do you envision this? You mentioned kind of the upside that it will mean. I guess I have two questions here. How this will sort of integrate with the 3Bear assets? And does how much quicker do you think you will envision sort of, call it, incremental third-party cash flow as a result of having this combination.
Avigal Soreq: Yes. So, H2O midstream is on the DPG side of the area and goes very well with the system we have built over time, integration is pretty much done. We can say that the people of H2O are part of the Delek Logistics team. They are part of our partnership. We are very pleased with the integration, both on the G&A side, the accounting and IT systems and the business development side and also the operations side. For example, yesterday, we just had a great meeting with their team, and we are really blessed to have them on our shop. On a more strategic basis, obviously, having the water and the crude in this area give us a bundling sale opportunity and take our discussion with our customer to the new level, and we are very pleased about it. So, that’s a really good one.
Neal Dingmann: No. I can’t wait to see that. And then second question just on capital allocation, specifically, how do you all think about potential distribution growth versus debt payment or where you would like your leverage or distribution coverage to be.
Avigal Soreq: Yes. So, we are very proud, Neal, about the fact that we increased our distribution 47x in a row. With that said, we will – I said it very clearly that our goal is to continue with the increase of distribution and we are going to push that forward. As the long-term leverage ratio that we are targeting is 3.5x, our job is obviously to balance between the growth opportunities, the liquidity, the leverage ratio and the coverage ratio, and that’s what we are doing. We gave a lot of growth opportunities around our area and Odely, do you want to talk about it more?
Odely Sakazi: Yes. Absolutely. And as Avigal mentioned, we are in a growth mode in Delek Logistics and kind of managing all of that and make it in a very sustainable way as well. We did mention about the additional acreage that we got in DPG, also the implement of H2O and associated synergy around that in the DPG area along with also the gas plant or the new gas plant, along with a lot of need for infrastructure that we see in the Delaware as long with also sour. So, all those opportunities is something that we have two assets in the most prolific location in the United States, both on the Midland side and also on the Delaware side. So, we are really excited about those opportunities.
Neal Dingmann: It makes sense. Thank you.
Avigal Soreq: Thank you, Neal.
Operator: With no further questions, that concludes our Q&A session. I will now turn the conference back over to the President, Avigal Soreq for closing remarks.
Avigal Soreq: So, I want to thank my friends around the table for the great progress we are doing with our partnership to the Board of Directors that support the progress we are doing and to the investors that joined our call and to invest in our share and casting in us. And first and foremost, to our great employees that makes this company great to work for. Thank you and we will talk again in the next quarter.
Operator: This concludes today’s conference call. You may now disconnect.